Operator: Good day, and welcome to Cogeco Inc. and Cogeco Communications Inc. Q3 2023 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Patrice Ouimet, Senior Vice President and Chief Financial Officer of Cogeco Inc. and Cogeco Communications Inc. Please go ahead, Mr. Ouimet.
Patrice Ouimet: Good morning everybody, and welcome to this third quarter conference call, which Philippe and I will present. So, before we begin this call, as usual, I'd like to remind listeners that the call is subject to forward-looking statements, which can be found in the press releases issued yesterday. And I'll turn the call over to Philippe Jetté.
Philippe Jetté: Thank you, Patrice, and good morning. Thank you everyone for joining us. Our third quarter consolidated results were in line with our expectations. We demonstrated once again our focus on balancing subscriber growth with financial performance, while remaining disciplined on our cost structure. While Breezeline continued to face headwinds from the macroeconomic and nationwide competitive environments. Cogeco Connexion performed well in the quarter, marked by continued organic growth in its Internet customer base and further supplemented by our oxio acquisition in March. In both Canada and the United States, we generated higher revenue per customer driven by a better product mix, and supported by our fiber powered wireline networks. We continue to execute successfully on our fiber-to-the-home network expansion programs, which continue to drive new Internet subscribers in both markets. Overall, we've added 101,000 homes passed since the beginning of this fiscal year. If we include those added in fiscal '22, this brings us to more than 171,000 additional homes passed representing a 6% growth of our network. These expansions are made in attractive areas from demographic or competitive standpoints, and where we are targeting very LTE penetration rates. Like the government subsidized fiber expansions that we are undertaking in Canada, we are pursuing regional programs in the United States, such as the Virginia telecommunications initiative, where we recently were awarded $15 million in funding to expand to 7,500 unserved homes and businesses. We also look forward to the launch of the broadband equity access and deployment funding program in the United States called BEAD, each state will run its own process of allocating funds by region. Within our traditional markets, our reliable high speed network, innovative digital product offering and local customer service, all position us well for future organic growth. In terms of mobile development in Canada, the CRTC released the final terms and conditions of the MVNO regulatory framework in May. And while the final decision did not introduce any material changes to the regime, we were pleased to see the CRTC establish a deadline for rate negotiations by August 7, and stated that it would consider using all the tools at its disposal should this timeframe not be met. We have initiated MVNO access negotiations, but as you will understand for competitive reasons, we cannot provide further details on these negotiations. And securing satisfactory wholesale rates for access to incumbent wireless networks will be critical to the viability and long-term success of our mobile entry. During the quarter, we also purchased spectrum licenses in the 2,500 and 3,500 megahertz bands in Quebec. With this acquisition, we have a spectrum that now covers 95% of our Canadian footprint. With regards to wholesale high-speed access services, the CRTC recently launched a review of its existing regulatory framework, and in our submissions to the CRTC, we are urging the regulator to ensure that any new wholesale access mandate resulting from this review does not undermine investments and innovation, and that regulated wholesale rates reflect the true cost of building networks. To that end, we have proposed that access to the wholesale regime be limited to small carriers, and that nascent fiber-to-the-home deployments be exempt from the mandate. Finally on ESG, Cogeco was named on the -- for the sixth consecutive year, one of the best 50 corporate citizens in Canada by Corporate Knights. This highly respected ranking recognized Canadian companies that are setting the standards for leadership in sustainable growth. I will now review our operational results. Let's start with our Canadian operations. As mentioned earlier, we continue to connect more homes in unserved and underserved communities in both provinces, where we added 15,000 homes passed during the quarter, and a total of more than 88,000 homes passed, including those added in fiscal '22. These fiber-to-the-home expansion projects are mostly in partnership with governments and are already paying off with customer loadings. Our Canadian team continued on its path to excellence by executing effective sales and marketing strategies, and by providing a distinctive customer experience, which led our internet customer base to grow this quarter by 11,100 across our traditional markets, newly serve areas and in regions where oxio is present. The Canadian business has also improved its ARPU, with an improved customer product mix. Now moving on to the U.S operations. During the quarter, we continued our fiber network expansion with 15,500 new homes passed this quarter, or 83,000 homes passed including those added in fiscal '22 which has resulted in new Internet subscribers. But the market remained challenging due to the macroeconomic environment and competitive intensity. Within our traditional markets, we reported 2,600 Internet customer losses, which were not expected and mainly driven by aggressive offers by competitors in response to fixed wireless access competition they are facing in other areas. However, the product mix has improved with a greater proportion of new connections, taking faster Internet speeds, and therefore driving a higher average revenue per unit. In Ohio, internet net losses stood at 4,000 which is a small improvement over previous quarters, but below our expectations. During the quarter, we continue to densify and interconnect the network to breeze -- to Breezeline's core. There is still more work on our plate to return to growth in our Internet customer base in Ohio, and it will take more time to gain greater brand awareness in that market. For Cogeco Media, we continue to face headwinds from another industry-wide challenging radio advertising market, while our stations once again, remain at the top of the ratings. In the meantime, we continue to expand multi-platform audio content options with more digital ad tech solutions. Now let me turn the call over to Patrice, who will provide more details on our financial performance for the quarter.
Patrice Ouimet: Thank you, Philippe. So in Canada, Cogeco Connexion's revenue was up by 3.2%, resulting mainly from a higher Internet service customer base, higher revenue per customer and the oxio acquisition. EBITDA was stable due to revenue growth, offsetting higher operating expenses to drive and support customer growth. In the U.S., Breezeline's revenue was down 5.7% in constant currency mainly driven by a lower customer base in Ohio over the past year, and an overall decline in video and phone customers, partially offset by higher revenue per customer and a better product mix. EBITDA decreased by 3.6%, reflecting more revenue, partly offset by a higher gross margin, reflecting more Internet within the revenue mix, as well as the impact of cost reduction initiatives. Turning to our consolidated numbers. At the consolidated level, our revenue was down by 1.3% in constant currency, which led to a decline in adjusted EBITDA of 1.8%, mainly due to Breezeline's performance, which I just explained and stable EBITDA at Cogeco Connexion. Capital intensity as reported was 22.9% compared to 25% last year, mainly from reduced CapEx spending in Canada. Excluding network expansion projects, capital intensity was 18.6%. Our free cash flow remained stable and excluding network expansion projects, free cash flow would have decreased by 5.4% in the quarter. A dividend of $0.776 per share was declared in the quarter. We anticipate dividends to represent a payout ratio of about 36% of free cash flow this year and 24% when we exclude network expansions. At the end of the quarter, our net debt to EBITDA was 3.4x, which reflects a higher U.S dollar against the Canadian dollar. Our Cogeco Inc. revenue in constant currency declined by 1.4% and EBITDA by 2.2% as a result of Cogeco Communications' performance. Radio operations revenue decreased by 3.2% as the advertising market remained soft. During the quarter, we recognized a pre-tax noncash impairment charge of $88 million related to our radio operations following an industry-wide reduction in radio advertising demand and higher cost of capital. A dividend of $0.731 per share was declared [ph] during the quarter at Cogeco Inc. In terms of outlook, we are maintaining our fiscal '23 financial guidelines as issued in January for both corporations, and no real change in our full year expectations from what we outlined in our last call. At Cogeco Connexion, we expect low to mid single-digit revenue growth for the full year and low single-digit EBITDA growth. In terms of Q4 outlook, at Cogeco Connexion, we expect mid single-digit growth in revenue driven by organic growth from our traditional markets, incremental benefit from our expansion into newly built areas and a contribution from the recent oxio acquisition. We expect a low single-digit decline in EBITDA due to margin contraction stemming from higher OpEx to drive customer growth, including with our oxio brand, which is in a high growth phase at the moment. And also note that in last year's Q4 results and EBITDA, we had certain favorable year-end adjustments. Now Breezeline for the full year, we expect in constant currency a low single-digit decline in revenue, while EBITDA is expected to be slightly negative. In Q4, we expect low single-digit growth in revenue driven by a rate increase implemented in June as well as continued growth from the network expansion projects. As for EBITDA, we expect stronger growth from higher revenue, less direct costs, a better product mix and less OpEx due to certain cost efficiencies. Below EBITDA at the consolidated level, note that Q4 should normally have a similar level of acquisition, integration, restructuring and other costs as we recorded in Q3. In terms of CapEx, our guidelines account for the anticipated increase in capital intensity in Q4 as the summer months are typically a busier time to build. It also reflects investments related to strategic growth initiatives, including preparing for an eventual launch of mobile services in Canada. Now Philippe and I will be happy to take your questions.
Operator: [Operator Instructions] First question comes from Maher Yaghi at Scotiabank. Please go ahead.
Maher Yaghi: [Indiscernible] Thank you for taking my questions. I wanted to ask you on your U.S business. Last quarter, you highlighted your expectation that you were expecting to see growth in broadband subscribers outside of Ohio. But the results show that you've subscribers both in Ohio and outside Ohio. So can you maybe highlight or discuss what changed versus your prior expectation when it comes to your broadband business outside of Ohio? What are the factors that brought those numbers into the negative territory? And I have a follow-up question on the wireless after. Thank you.
Philippe Jetté: Sure. Good Morning, Maher. Yes, so I mean, we operate in different states and the level of competition is higher than before, as you know. So it's no different than the last few quarters. So if you look at the last year, we've had quarters where we were negative in terms of, if I focus on the internet subscribers, and some quarters we were flat, and some others where we were positive. So it's a fine balance. We do have different levels of competition in different areas. And we have to manage a balance between ARPUs, profitability and also subscriber loading. So I would say there's nothing particular that happened during the quarter, it's also a small -- these are small values compared to the overall base we have in the U.S. But it is more than competitive than it used to be, especially from the fixed wireless access providers at the moment. But overall, I would say, outside of Ohio, we've been able over the past year to maintain our base.
Maher Yaghi: So how should we approach the rest of the year going forward in terms of your loading, since fixed wireless is likely to remain a competitor for you, for the foreseeable future. Should we be forecasting continued broadband losses outside of Ohio, or this should be a resorbed [ph] somehow soon?
Philippe Jetté: Well, as I said that this quarter was negative outside Ohio, but the previous quarter was positive. And if you'd like -- if you look before that we've had ups and downs as well. So these numbers change by the week. So obviously, our goal is to be at the minimum flat and to grow market share, but they will vary by quarter. So it's difficult to answer at this point exactly where Q4 will stand. But again, it's managing ARPUs and especially on the acquisition front of new customers, and the subscriber loadings.
Maher Yaghi: Okay. I'll move on to wireless because you have moved -- you have made some moves in wireless over the last quarter, like you said, you bought some spectrum on the 2,500 and 3,500. So can you maybe update us on where your discussions for wholesale roaming and MVNO are at and when do you expect some resolution to allow you to operationalize the whole investment so far.
Philippe Jetté: So, Maher, as you saw and as you heard me say, we're still determined to launch a mobile service in Canada. And we are now in negotiations with the MNO. For competitive reasons, we won't go further on this call, but it remains a critical element of our business case to enter for the long-term this market. So we are expecting to close these negotiations in line with our aspiration. But we're in -- we're into it right now. So more to come in the next quarter.
Maher Yaghi: And do you believe that the spectrum that you bought is enough for you to support over time building up yourself your network and moving the transfer of frequency usage from them and all to your own network over time?
Philippe Jetté: Yes, well, it will be a combination of the spectrum we can acquire. It will be also a combination of different partnerships of the MVNO framework. So for the next 7 years, we don't need to have all the spectrum in every territory. Right now we cover 95% of our operating footprint where we have fiber, a fiber backbone to evolve a wireless operation later in time. So we're starting with an MVNO operation, and as time progress, we will accumulate the assets that we need and/or the partnerships that we need to continue expanding.
Maher Yaghi: Thank you.
Operator: Thank you. Next question will be from Drew McReynolds at RBC. Please go ahead.
Drew McReynolds: This question from Maher, assuming or whenever commercial negotiations are completed, what’s the aspirational here? What would be the timing in terms of ending those negotiations into an actual commercial launch? And then second question, in the Canadian broadband business good to see the uptick in Internet net additions. When you attributed to footprint expansion, oxio and organic growth in existing territories, can you give us a sense of kind of what the relative contribution of each would be? Thank you.
Philippe Jetté: Hello, Drew, it's Philippe. Let me start. In terms of dates I have already indicated earlier that part of the CRTC process there's the August 7 date that was set as a deadline for MVNOs and MNOs to agreed in negotiations. Failing that there will be an FOA process and arbitration process. So let's first get to August 7, hopefully, we will have close, if not, we will work with the CRTC with the arbitration process needs to be and we'll take it from there.
Patrice Ouimet: On the other one, Drew, so we were very happy actually with the TFCs [ph] in Canada as you saw, despite some challenges in the U.S., the Canadian ones were very strong. And actually the previous quarter was good as well. Not to necessarily slice and dice the number into these three buckets, but I can say that the three areas, which are the legacy business, the network expansions, and the oxio additions in quarter did contribute meaningfully during the quarter. And just to be clear also, these numbers obviously don't include what we acquired in oxio, it just includes the change in the quarter for the additions during the quarter.
Drew McReynolds: Okay, got it. Just a quick follow-up, actually back to wireless. Just whenever the process is finalized and you're good to go with agreements in place, whether negotiated or through the final offer arbitration, are you good to go almost within kind of week or weeks? Or does it still take a little bit of time to after getting everything in place agreement wise to launch.
Philippe Jetté: We've previously indicated that we have set up a team. So from the team point of view with there, there is some work that we could have done regardless of the negotiations. There are some systems and some technical work that will need to happen, pending what we are able to secure or negotiate in those negotiations. So there will be some work after the negotiation to set up the interconnections of systems, for example. But we'll have to finalize the negotiation to see what exactly this work is and how long it's going to be. So unfortunately, we can't be more precise than that today.
Drew McReynolds: No, that's great. Thank you.
Operator: Thank you. Next question will be from Vince Valentini at TD Securities. Please go ahead.
Vince Valentini: Thanks very much. First, on the Q4 outlook for the U.S., Patrice, I think I heard you right, but revenue down low single digits and a very slight decline in EBITDA, is that what you said for Breezeline?
Patrice Ouimet: Yes, exactly. Low single-digit decline in revenue -- sorry, that's the full year. So for Q4, so yes -- so low single-digit growth in revenue at Breezeline, if that's your question. And higher growth than this in EBITDA in Q4 in the U.S.
Vince Valentini: Okay. So I mixed up the full year. So for the quarter you expect both of those to be up year-over-year.
Patrice Ouimet: Exactly.
Vince Valentini: And that is driven, I mean, we see what the subscribers are. So obviously it can't be driven by that, it's driven by a rate increase. Can you give us any sense of how big the rate increase was in June?
Patrice Ouimet: Yes, it was not a large one, but it was across the base. So I would say it was smaller than what we normally do. But there's also other elements we did proceed with some reductions in FTEs at the early parts of the quarter. So there's some benefits there. There's more cord [ph] cutting on video as well in the U.S across the board, in the industry. So that reduces some revenue, but it also offset some costs on video. And we have other elements as well in terms of cost reductions that are in motion. So I would say it's a -- it's the mix of these four elements.
Vince Valentini: Okay. That makes [indiscernible]. Yes, go ahead.
Philippe Jetté: Sorry, Vince, if I may complement that, Patrice indicated the price increase, but specific to Ohio, let's remember that we have not increased the price since we've acquired these assets. So it actually gave us a good position to better compete. But this price increase is across the whole base, including Ohio. So we feel we're good with a price increase, including Ohio this time.
Vince Valentini: Okay. Thank you for that. Just Patrice the explanation on EBITDA with the cost reductions makes a lot of sense to me. I'm still struggling with the math on how revenue turns positive when the trend line has been getting worse and the sub adds got worse again in Q3. So if it's only a 2% or something rate increase, I don't see how that's going to change its trajectory. So am I missing something else on the year-over-year comparison?
Patrice Ouimet: Yes, there's a bit of -- so this price increase, there's the product mix as well changes in the quarters. And also, obviously, the reason why the revenues are down this quarter in Q3 primarily were entirely due to the sub losses in Ohio. But as you remember, obviously, when we made the switch over to our brand, this is where we had more losses and these losses have come down over time. So as time passes the negative impact of those initial larger losses is reducing.
Vince Valentini: Okay, good enough on that. And a follow-up on wireless for me as well. Well, two quick ones. One, you mentioned the final rules that we saw from the CRTC in May. Unless I've missed something, I mean, they're still seeing a 7-year Sunset Clause to need to build your own network. Is there any chance that there's some other revision coming at some point from either ISID or the CRTC to potentially extend that 7 years? Or is that something you don't think could come for until we're 2 or 3 years into the process?
Philippe Jetté: Yes, well from a CRTC point of view, I think we need to give a chance to the framework to get going first. I am not expecting them to immediately review that term. But let's remember that there's -- this is one way to expand the timeline. There are other ways in signing long-term commercial MVNO agreements with larger MNO, for example, or entering into network sharing agreements with others. So the expansion of the 7-year although in my opinion, likely in the future, is just one of three options and maybe even more.
Vince Valentini: Fair enough. And last one, the $60 million if I saw that correctly, in the MD&A that you spent on spectrum in Q3, it surprised me a little bit how much that wasn't this spectrum for more smaller markets where you didn't have spectrum before? Or did I miss something you actually bought spectrum in a major city like Toronto or Montreal that would cost more?
Patrice Ouimet: No, no. It was actually the former. So we've expanded from 91% to 95% coverage of our operating footprint. Yes, so they -- so Vince, those were in Quebec and the last auction we bought mainly in Ontario. The pricing there were many areas for auction in Quebec, but we ended up buying very little in Quebec. And we had an opportunity here to buy on a private basis some spectrum in Quebec in cities where we either had nothing or we had very little spectrum, so it helped us basically beef up the spectrum packages in the areas. And when you look at it on a per megahertz POP [ph] basis, it's quite lower than the pricing we've seen in the last auction what we were able to secure now. So we felt comfortable with it.
Vince Valentini: Do you have that figure, Patrice? Was it sub a $1 per megahertz per POP?
Patrice Ouimet: It was -- yes, it was -- just above $1, so above $1.10.
Vince Valentini: Thank you.
Operator: Thank you. Next question will be from Jerome Dubreuil at Desjardins. Please go ahead.
Jerome Dubreuil: [Indiscernible]. Thanks for taking my questions. Going back to the U.S., despite the kind of mix of cost per gigabyte on fixed wireless, we've seen these large fixed wireless players now committing resources to expanding fixed wireless capacity, some of them calling it the only killer app of 5G right now, and they've put a lot of money in 5G, so it'd be an incentive for them to keep going on that front. Does that make accelerated investments in the U.S more attractive since you need growth or less attractive?
Philippe Jetté: Could you specify when you say other investments, what you mean?
Jerome Dubreuil: Yes, I mean, previously maybe we were expecting the large fixed wireless players to run into capacity issues. And now it doesn't seem to be as much of a problem from recent communication from Verizon multiple.
Philippe Jetté: So they are very targeted in their approach to the market and fixed wireless access. So there's a specific amount of capacity that they have on every sector of these cell sites, and that's what they allocate to fix wireless. The overall question of spectrum is still limited. So they might be adding a little bit more spectrum to expand a number of customers per cell sector. But still they will be limited by the spectrum usage. And we assume that they will want to monetize furthermore this spectrum, turning it to the next 5G applications. But it might last a little bit longer than we anticipated in the market. And they are opening small, but other areas of coverage here and there but in a very targeted manner.
Jerome Dubreuil: Okay, thank you. And maybe just one clarification, and maybe you've already mentioned it, but just wanted to confirm that you are fully eligible to the MVNO regime with all the CRTC requirements of home network and all the other requirements we've seen.
Philippe Jetté: Yes, we have a public mobile network [indiscernible]. It's actively offering mobile service to retail customers. And this is why we started negotiation as we are compliant with the definition.
Jerome Dubreuil: Great, thank you. [Indiscernible].
Operator: Next question will be from Stephanie Price at CIBC. Please go ahead.
Stephanie Price: Hi, good morning. I was hoping you could talk a little bit about the timeline for BEAD funding to roll out to the telecom providers in the U.S. And give us a bit of a ballpark on how big an opportunity this could be for Cogeco in the U.S?
Philippe Jetté: Sure. Hi, Stephanie. Yes, so the allocation by state was just done by the federal government and I'm sure you've seen it. So then there is a process that the states have to follow with time limitations. They can go as fast as they want, but there's time limitations on it. And it's a to two phase project process where initially 20% of the funds gets released. And when the second phase happens, and it's basically defining the maps and exactly the houses, then the 80% gets released. So it will probably vary a lot by state. And what we're expecting is that some of these bidding in some states is going to start in early '24. That's calendar '24. And some will stretch into '25 and it's possible that for the last pieces will be in '26. So it will be spread out. What we're doing on our side is getting ready. So we have obviously a team on it and we're operating in many states, as you know. So there's a lot of work being done behind the scenes looking at the different maps, so that we're ready to respond when the states launch their own processes.
Stephanie Price: Right. Thank you. And just on capital allocation, it looks like you paused on buybacks in the quarter, likely just given oxio and the spectrum you acquired. How should we think about capital allocation at this point?
Patrice Ouimet: Sure. And maybe, just before I forget what the dates I gave you on the BEAD program, this would be to bid. Once you win an area, then there's a time period to do the design of the network, get the permits and start to construction. So the CapEx elements would be further out. In terms of capital allocation, obviously, we are focusing on generating enough free cash flow to do these acquisitions and buybacks, pay the dividend and raise the dividend, and invest in these BEAD programs and what we're doing in Canada right now, unfortunately, we're able to do a bit of all this. The buybacks, we do it more on an opportunistic basis, depending on obviously, how we see the value. Obviously, we see value in the stock, that's for sure. But also we have to look at the leverage and the other opportunities that are there. As you know, with the -- our plans in Canada, we have been accumulating a spectrum and that we had an opportunity to do some more right now. So that was a -- we think a good investment for us. And you have to grab these opportunities when they come as the buybacks can be increased or decrease as we see fit for an hour in the future.
Stephanie Price: Makes sense. Thank you.
Operator: Thank you. [Operator Instructions] And your next question will be from Matthew Griffiths at Bank of America. Please go ahead.
Matthew Griffiths: Hi, good morning. Thanks for taking the question. I was wondering if you could talk a little bit about how you feel about your pricing power in the U.S market. You obviously are going through a price increase. So that's kind of a positive indication. But you also referenced higher levels of competition than before. And the -- if not really the inter, the direct impact of fixed wireless access, the indirect impact that they're having on competitor pricing. So if you could just talk about how you see that playing out? And if this -- if we should expect a kind of subscriber impact from this price increase going into Q4?
Patrice Ouimet: Yes. And, of course, we've mentioned the macroeconomic factors. The high inflation that is going on, but our products are actually well in demand. Broadband is a -- almost critical or essential service. So and we've mentioned a number of times already the improve in the product mix, so customers are actually moving up using broadband more and more, there is a good pricing power for the industry. That's why we can actually offset the CPI with some price increase. Back to the pressures, they're localized from fixed wireless access. It's not throughout the country, it's very localized. So of course, we have to do have marketing strategies that can address the localization of some promotions. But in general, I think while under pressure, there -- it's still a good market. It's a -- the product is in good demand. Everybody needs it.
Matthew Griffiths: Okay, good. That's helpful. And then I think in Ohio, your reference that there's still more work to do. And I think you used kind of similar terminology. Last quarter, I just wonder if you could elaborate on what work it is that you're doing. And maybe, if when -- if you have some visibility on to when that work will be complete?
Patrice Ouimet: Well, I've specifically also mentioned the -- our brand presence and awareness in this market, requiring a little bit more time. So we continue to raise the awareness of our Breezeline brand. Remember when we acquired those assets, they carry the different brand names. So that's one of the major elements to be known in the market, so we can sell well in that market. We also invest in -- as we in generally do everywhere, but more so in Ohio to raise the quality of the product and services that we sell to be the best, simply the best in the market so we can attract more customers. And it's so -- it's a big, it's a mix of building the best product portfolio, the best customer service in that market, making the brand more relevant to all customers. And activating all the sales channels from door to door to Internet or the agents that we have talking to customers daily.
Philippe Jetté: If I can add also, what's a bit new this quarter? Actually, we have -- we're not done with the service agreement we had with the seller. So now we fully control basically the network. And that has its advantages, for sure. And we're continuing to add capacity to it. So we're upgrading, continuing to upgrade the network. So that helps with stability and upselling customers as well. And lastly, we're rolling out IPTV not a large portion takes like TV, but there's a portion of the customers. And that's a much more modern service, then what's been provided before.
Matthew Griffiths: Okay, good. Thank you. And if I could ask just one more just touching on the wireless question. I think Patrice, you -- oh no sorry, it was Philippe mentioned that introducing a wireless service is critical to your business case, I believe you said sorry, if I miss quoted a little there. But the criticality was an element as wondering if you could elaborate on that, what, if you could point to what it is that you're hoping to achieve, perhaps in a broad strokes from offering the wireless service?
Philippe Jetté: Okay. So let's come -- let's go back to we've always said and still believed that we have a very strong broadband business, and that business can continue to organically grow on its own, and we are expanding its footprint. So there's a very solid good business there. We would like to add a mobile product in our portfolio to expand our share and the telecom spending in the marketplace. But it's an additional growth through the additional of a product. Now what I said was that the rate negotiations with the MNO are critical to the success of the mobile business case for the long-term. So that's why we're negotiating right now. And we will look forward to having a set of rates to sustain the long-term viability of this product -- of this business case. But back to broadband, we've always said that we have a good business and we can continue to grow it on its own.
Matthew Griffiths: Okay. Thank you for the clarification. I did misquote you there a little bit. So thanks for that.
Philippe Jetté: Operator, any other questions in line?
Operator: At this time, sir, we have no further questions. Please proceed with closing.
Philippe Jetté: Okay. Well, thanks to all for joining us today and we will be available for your questions until we meet for the next call, the next fourth quarter call. Thank you and have a good day.
Operator: Thank you. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines. Have a good weekend.